Disclaimer*: This transcript is designed to be used alongside the freely available audio recording on this page. Timestamps within the transcript are designed to help you navigate the audio should the corresponding text be unclear. The machine-assisted output provided is partly edited and is designed as a guide.:
Operator: 00:04 Hey, hello, everyone. Thank you for joining us on the webinar today. Before we begin, I'd like to announce that we'll be referring to today's earnings release, which was sent to newswires earlier today. I'd also like to remind everyone that this webinar call could contain forward-looking statements about Destiny Media Technologies, within the meaning of the Private Securities Litigation Reform Act of Nineteen Ninety Five. Such forward-looking statements are based upon current beliefs and expectations of management, and are subject to risks and uncertainties, which could cause actual results to differ materially from those forward-looking statements. Such risks are fully discussed in the company's filings with the SEC and SEDAR and the company does not assume any obligation to update information contained in this call. 00:47 During the webinar call, we will discuss certain non-GAAP financial measures. The non-GAAP financial measures are presented in the supplemental disclosures and should not be considered in isolation of or as a substitute of or superior to the financial information prepared in accordance with GAAP and should be read in conjunction with the company's financial statements filed with the SEC and SEDAR. 01:08 The non-GAAP financial measures used in the Company’s presentation may differ from similarly titled measures presented by other companies. A reconciliation of the non-GAAP financial measures to the most comparable GAAP financial measures can be found in the earnings press release. 01:22 Following the presentation, there will be a question-and-answer session. During which you may submit question by selecting the raise hand icon at the bottom of your screen. Your questions will be called in the order they received at which point will be prompted to unmute your microphone before speaking. 01:36 with that, I’d now like to turn the call over to your host, Fred Vandenberg, Chief Executive Officer.
Fred Vandenberg: 01:45 Thanks, Sean. On the call today, will be myself Fred Vandenberg and Glenn will present a little bit later on the presentation. This is our second webinar – second earnings webinar I guess I should say. And we've made some changes, but similar to last – the last webinar we've presented prepared a Powerpoint presentation that will follow along and hopefully that I will assist in the discussion? I'll just share my screen here. 02:26 Okay. So the structure of the call today, I really wanted to focus in on our longer term goals where do we see ourselves in five years? It's that old job interview question, where do you see yourself in five years? The second item would be, how we're going to get there our strategy. And the third, what we did in twenty twenty one to get there. Play MPE is growing by about twenty two percent over the last four years, I think it’s twenty nine percent if you go back five. But we wanted to talk about where we see ourselves going in the future. 03:27 So looking forward, Play MPE is B2B business in the – business of music promotion. This is our revenue by source over the last five years and give you sort of a foundation of the recent history, it's got an addressable market. We think of about forty million dollars we think that's conservative. But we really view Play MPE is an anchor stone for additional businesses. We like Play MPE. We think this business with a lot of potential growth and it's high margin business, but we looked to grow beyond that. 04:18 So where do we think – where do we see ourselves in five years? This graph here is really to give you a sense of scale a bit of perspective. We've used fifteen million dollars as our revenue amount in five years, but will that take longer to get there will it be sooner, will it be higher or lower in five years? These are all questions that I think as you go through our strategy. You'll get a sense of it's kind of hard to predict, but it does give you a sense that we are targeting a higher – higher growth rate. 05:04 I'll talk a little bit more specifically later on, but as we have added staffing and especially a product engineering staff. We've started to dedicate more time to new products. So we think we're targeting growth – higher growth with Play MPE, but concurrently, we're starting to invest more time into – to new products. So how do we get there? I'm going to spend the majority of time and bear with me I think it'll be a useful discussion. 05:43 But on how we grow and add revenue and how we acquire new market. Play MPE is a little bit unique in the sense that think of it like Facebook, if you're the only one of your friends there, it's going to be a pretty boring conversation. So, in acquiring a new market, we have to build up that network of use. So, how do we do that? Really the first step we take is that in content getting desirable music that tends to be music from major record labels, one of the three major record labels or all three I guess and in some cases, it's more major independent. Anyway, it's content, that's desirable. 06:39 And how do you get that is really a strong business development group and easy to use platform. The second step would be adding recipients, getting recipients to actively use that the – Again, it takes easy to use platform on the recipient side. Intuitive languages, local languages. And we add a lot to the recipient player that facilitates a really good experience? The second, sorry, the three, four, five here. This is the order that they typically come in, but they can be a little bit less sequential, it’s more of an of  process there. But it's really adding lists. So we can sell these, it's critical to selling to independent labels where they don't have the resources to manage list and know who to contact. 07:52 We establish commercial relationships or agreements typically up into this stage, we're providing that network of use and then we start coming to the arrangements. They can be any kind of commercial arrangement where it's a smaller pilot agreement that just fund some of our investments or they can be full commercial agreements. 08:18 And then the first step is really the your block tackling adding independent sales, marketing, lead conversion – lead generation, lead conversion, all that sort of steps? This slide is really talks about where we are and it's – it builds on that previous light where the color is match up, so you can sort of see where each market is. It's never, it is clean as this slide would suggest, for example, we don't have independent sales in the Baltic, up in part of – Northern part of Europe over here. 09:05 And United States is a bit of a split market where we have a lot of room to grow in with rhythmic and urban and top forty music where, but we also have an established presence with country and Christian and alternative music. South Africa’s, we'll talk more about what we did there, but Northern Europe, Australia, New Zealand are all sort of more on block and tackling stages? So, our immediate focus really is to expand our Latin initiatives. We think South Africa is a bit of a steppingstone into Africa generally and we want to take advantage of this active recipients receiving a lot of content in Europe. 10:03 So how do we get there faster? I think the first thing I need to say is that establishing a new market takes time. Takes time to educate recipient, it takes time to get the content and there's really no way around that. But I think the reason, I'm confident that we can tip that revenue scale up is as we seen it before. We've done it before. We've – we've experienced everything if we are experiencing now. But how do we get there? Faster is – it starts with content. So how do we get more content in there faster? We'll talk a little bit about product developments or platform developments later, but we get more content from Universal, for example, they tend to be foot in the door in a lot of markets. But we're working on things like localizing our app. We've localized when I say localized, we translated into the local language. 11:15 We've localized our web player. We want to do that to the mobile app as well. But it's strong business development. We've made some progress there that Glenn will talk about a little later. We've made the release creator a little bit more intuitive. We’ve launched that, I think it in January of twenty twenty one. We're going to other things to get to automate content – getting content in the system quickly and but just better marketing. And so on the recipient side, it's kind of the same process. It's ways to make a recipients engage more. There's a lot of things we've done over the years. That make our recipients experience quite good. We tend to invest in that quite a lot, and we were going to continue that. 12:22 The next one list is a big one. This one I want to spend a little bit more time on it. But lists, we present lists for sale. That's presenting people to independent artists in record labels or even the majors, but we present them in twelve countries now and we have a couple of lists that are more international in scope. But this is critical for independent sales, and we've undergone some things this year that help our list management department to produce those lists faster more efficiently. But no other competitor really has the international presence that we do and oftentimes when we enter in a new market, that new market wants to send international destinations. It's not just – it's not just with that local market. So, in this type of sale, you need active recipients and then you need to tell people who they are. You also need an easy to use platform and one of the things, we'll be working on this year is fiscal twenty twenty two is checkout function. We have a really easy to use distribution release creator, but we want to have customers check out at the end of it rather than go through a quoting system? One of the things that it's probably interesting here is that two thirds of the users of Play MPE internationally are not on our list. So this is a great opportunity for us. 14:27 Another thing we're working on in this aspect is facilitating ways for those recipients to become on our list, like getting getting them to do the work for us. That will be a little bit further down the road. And then commercial agreements, that's really our business, better marketing customer education about our benefits. Independent sales, this goes back to the checkout features that we're talking about and better marketing? The last thing as we, so how do we get there faster and part of it is the R&D into two new products as we get further down the track in improving software development processes. We're able to spend a little bit more time on R&D. We're not – we never short of ideas. The space is evolving all the time. 15:34 I'll get into it a little bit on the next slide. I think it is about what we did this year, but we are spending more time exploring what comes next. So what we did in fiscal twenty twenty one. The first part is investments in the core Play MPE. I talked about the release creator, that's a bit more intuitive, that sort of builds on. We did a web release creator back in twenty eighteen. In fiscal twenty twenty one, we updated to be a little bit more intuitive a little bit slicker, more powerful announcement preparation. 16:24 But in the second half of the year. What you see here is the left side nav in the Caster software, that's the distribution software. And there's little sorts of components that are within that platform. This year, we really focused in on the context, the release sharing and within releases is released scheduling and I would love to spend some time talking about each of these models – modules rather to tell you all the great things that are within them. But I think the biggest takeaway here is that the functionality within these modules for lack of a better work is critical for UMGs, global agreement, it’s critical to their workflow. 17:23 Contacts management is very powerful again, I'd love to get into the detail of why it's good, but it really helps our list management group, manage lists efficiently, and that's why we are able to present as many list as we can. I mean it’s – that functionality was somewhat in the PC version, but we've added some functionality in web based platform that we'll make it even faster. These pieces of software are very complex in their building, but they result in a very easy to use our full flexible platform for our customers. 18:15 Release sharing in particular is well context in particular too, but release sharing is something that's critical for UMG and warner in northern Europe uses it as well? With these investments, the implication will be that universal will expand their usage, at least that's what the plan is we've already seen it in this year. We've added lot of increased distributions and Israel is one territory where UMG is added, but I think with this, when they move over to the web based platform completely, they'll be able to expand worldwide in what that does is creates many more opportunities for us to have that foot in the door in new markets. 19:20 Second thing I can do that, earlier was investment in new technology. We started the year exploring ways to partner with other providers of airplane monitoring. That's something I think we were thinking at the beginning of the year that we could partner with them, and we thought that that would be a good idea for Play MPE because our customers are asking for this all the time. But as the year progressed, we started thinking that maybe we can do it ourselves and we've built a prototype. It's really just as a prototype stage. I know that people will want to know what the addressable market is. I can tell you that I think it's a very appealing market for us to pursue, it will be complementary to Play MPE. One of the things that I think is interesting in this technology is that it doesn't have the same kind of latency in terms of market expansion, like Play MPE, you have to invest in a market and build that use up. And then essentially, you'll be to establish commercial relationships and grow it. This won't have that same sort of latency. 20:54 But reality is it's at a prototype stage and I don’t want build up expectations too much because we still have to build out our team to build it to design and build what we think is a sellable product. That's something we're going to pursue aggressively. We have the cash to do it. We think we can do it with that cash. 21:20 And then the last thing is this year we added product and design staff one of the challenges we've faced is engineering staff generally, they are – they are hot commodity, especially in Vancouver. So we've expanded our search for that, but also with added product and design staff. We think we can really leverage what we have more efficiently and produce more. 21:58 And with that, I'll turn it over Glenn.
Glenn Mattern: 22:02 Thanks, Fred. And thanks everyone for taking some time out of your busy schedules to tune into our presentation today. I think if you had asked me a year and half ago, we'd still be battling a global pandemic. I don't think I would have believed you, but here we are. But despite these obvious challenges that the pandemic has thrown at the industry, twenty twenty one represents the fifth year of – fifth consecutive year revenue growth, while we make these investments for larger revenue growth. 22:31 We believe this growth has been a result of a significant restructuring of our management team and marketing and business development groups over the last couple of years. And our continued refocus on our core Play MPE business, which has commenced seeding network used to expand our territories. In regards of new staffing in order to nurture and grow our existing markets and facilitate and accelerates our new market acquisition during the year. We continue to restructure the team. During the year, we added six account reps and supporting staff in the United States and Canada for net gain for employees. Each of these account executives were carefully chosen forward there wealth of use commercial experience in their respective formats and territories. And we believe that their in-depth knowledge of the industry and network of contacts help, and we'll continue to expand our engagement with our customers on both sides of the platform. 23:33 Play MPE has a longstanding use – has longstanding use in core markets such as Australia, New Zealand, Sweden, Finland, Norway, Denmark and of course, the United States. And our strategy in these existing markets is to increase marketing efforts to attract and educate new customers, expand distribution opportunities to new types of recipients and to expand distributions to Play MPE is growing global presence. 24:00 Over the course of the year, Play MPE is marketing team worked along with the  group to focus on new markets. We commenced a series of marketing initiatives that included partnerships with music related associations and awards, social media posts, blog posts and advertising. Our marketing team has helped us immensely through a lot more detailed strategy and our lead generation over the year improved a little over twenty eight percent. 24:30 Popping over to revenue, Thank you. The total revenue for Play MPE for the twelve months ending August thirty one twenty one increased by over nine percent and I'd like to highlight that again, that independent record label revenue grew by twenty three point one percent for the year. The majority of this independent music growth is due to an increase in leads within existing territories where Play MPE has well established use. 24:59 Also contributing to this growth is independent record label revenue in new territories. As the company has established sufficient use to begin attracting paid use from these newer territories. This includes. UK, Jazz globally, South Africa and some of the newer genres in the U. S. And Canada. In terms of territories and areas that we're excited about, the Latin music market, which is large and vibrant But last one well is established system for promotional distribution and discovery of music is an area where we believe our platforms, market leading advantages will result in the market acquisition. Our marketing team focused heavily on what we see as a key area of expansion for our platform. 25:51 Our product website we've got explanatory videos, Caster and player software are all now available in Spanish. Back in November of twenty twenty, we hired a senior Latin music industry executive to assist our existing team to expand the reach in the Latin market. Over the course of fiscal twenty-one – we – fiscal twenty one, we continue to build on the Latin market Usage of Universal music group with the addition of seed content from Warner and Sony as well as several key independent labels. We're seeing very strong growth in usage. 26:26 On the recipients side of the platform, our total active users in these markets grew by one hundred and thirty percent. Concurrent to the efforts to grow the available content, our operations group began constructing distribution list throughout Key Latin territories. 26:41 Preliminary experience suggest that we're well maintained, and accurate recipient lists are critical not only to independent record labels but also the larger major independence in the major record labels. In addition to expanding our Latin list in U.S. and Puerto Rico, our business development and operations team developed operational list in nineteen additional countries. I don't need to list them all, but from Argentina of Venezuela, we really set a lot of time expanding these lists. 27:10 Moving to South Africa, which is a great example of success in acquiring new territory back in twenty twenty – in fiscal twenty twenty. We added more music South Africa’s trial use to the existing use of Warner Music in South Africa. And at the end of fiscal twenty twenty, we entered into a resell agreement with South Africa and South Africa with stamps communications. And then in August of twenty twenty, we commenced our first independent record label sales in South Africa. But I would like to mention that shortly after twenty twenty one fiscal year end. We entered into an exclusive two year agreement with Warner Music in South Africa. We expect to see similar revenue growth with South African independent record labels. And to expand into the Sub-Saharan African market. 27:57 And perhaps most importantly, we believe as Fred mentioned that the South Africa market will act as an influential strategic steppingstone to the African market generally. We've already commenced some small distributions in training beyond South African borders. 28:14 Looking to the U. S. where we've had a long history and strong user base with many user genres including Christian Country, Jazz, non-commercial, college,  and alternative formats. Over the course of the year, we work to strengthen our business development team's engagement in these existing markets. Three strategic hires, refined sales processes marketing initiatives – initiatives, pardon me and product improvements. 28:38 Over the course of the year, we've secured several multiyear contracts with some strategic and major and major independent labels. We do have stronger competition other formats. Including Urban, Rhythmic and Top 40. It's within these underserved owners where Play MPE you can grow substantially within the United States. 28:59 The company is focused on capitalizing on recent investments in the platform, commercial ranges of major labels in the United States and the platform’s functionality as we've discussed. As part of the additions of the business development group during the year. We added a team member with broad promotions and radio experience in these Rhythmic, Urban Top 40 formats in early twenty one. And with our focus on these segments, we have new and increased usage from several major sublabels and major independent labels in these formats. 29:29 Improved flow of content, which is distributed to our platform as faster stronger engagements with recipients in the various formats. Just an example to compare the number of active recipients comparing to the previous year. We've got almost – almost twenty five percent more active users. Urban twenty three point five percent, Top 40 up above thirteen percent. So, we're going to continue to focus on the genres and the focus is also on the independent record business that will promote. 30:07 Moving onto Canada, back in twenty nineteen, the company saw an opportunity to expand it to Canada due to the relative strengths of our platform over an established system which operates within the country. Though we view our system is having numerous competitive advantages. Our key Canadian competitor benefits from brand awareness of process ownership. So to initially attract users, we focused our business developments on growing major label and major independent content. 30:33 In late twenty twenty – late January twenty twenty, Universal Music Canada commenced distributing all releases within Canada through our platform and by Q3 of twenty twenty, Sony Music Canada had commenced sending significant content through Play MPE and in Q4 twenty twenty-one, Warner Music Canada commenced as well. All three major labels are regularly using Play MPE in Canada to very expense. 30:58 Late the year, we are on board a new business development team member within Canada with seventeen years of promotions, marketing and project management skills and is how we worked for major and major independent labels as well as broadcast groups within Canada. We've seen a significant increase in Canadian usage in fiscal twenty one and by the end of fiscal twenty-one, active recipient users in Canada had grown by fifty two percent over eleven hundred. 31:23 Revenue from Canadian labels grew one hundred and seventy percent and as the market becomes more aware of Play MPE, recipient reaction has been overwhelmingly positive. The French Canadian content market, sub segment if you will, the similar thing was no dominant system. And following a brief but successful trial period. Play MPE signed one of the largest distributors of French language content in Canada to a one year agreement. 31:49 Thanks for our lists in a variety of global territories. It's very easy for labels to distribute international recipients. As Canadian record labels become aware of our global presence, labels of convinced distributing to international recipient lists. We plan to add recipients lists in French speaking territories to the demand from French Canadian artists. And as we add new French speaking territories to our distribution list, you'll be very easy for the company like a French Canadian distributor to go over to France, for example. Basically, if we build the list, if you build, they will come ultimately. 32:26 With that, I'll pass it back over to Fred.
Fred Vandenberg: 32:32 Thanks, Glenn. Just before we turn it over to Q&A. I just wanted to sort of summarize what we have – what we've talked about today, I think Glenn is taking – done a great job of taking you through the progress we've made in each of these. Each of our new market initiatives, the blocking and tackling with existing markets and then how we've gone about acquiring them. But really, I wanted to highlight and sort of refocus that. We are aligning our product development and our staff development into moving our new market acquisition faster. 33:21 And then the last thing is that as we move further down the stage of moving new markets on faster, we are also investing more time in new products that should come online. With that, I will turn it over to Sean to introduce a Q&A session.
Operator: 33:44 Thank you, Fred. So now, we are going to the question-and-answer session.  So one moment for your first question. Your first question comes from Gerry Wimmer. Please go ahead once unmute your microphone.
Gerry Wimmer: 34:33 Hi, Fred.
Fred Vandenberg: 34:34 Hi, Gerry.
Gerry Wimmer: 34:36 Everything is good?
Fred Vandenberg: 34:37 Good.
Gerry Wimmer: 34:38 Congratulations on a good year to you and your team.
Fred Vandenberg: 34:41 Thank you. And we've accomplished a lot it's been a very busy year. I can tell you that.
Gerry Wimmer: 34:46 Yes. Our first question, just going back historically to the financials and you just reported. One thing it jumps out is the revenue growth in Q4 is being flat. Nine percent of the year, is there something specific in Q4 that would have resulted in the platform?
Fred Vandenberg: 35:13 Well, good question. I think there is, we had Q4 in fiscal twenty twenty was a particularly good one. So you'll see the comparative as strong. You still see some progress, I don't have it in front of me, but you still see some progress in various territories. We do see a bit of negative impact from reduction in Sony revenue in Australia, but otherwise, I think it's just a strong quarter that has a tough comparison. Real – the real long term growth is yet to come.
Gerry Wimmer: 36:06 Right. Second question, moving forward on your three spend markets, technology, marketing, sales marketing and then as a percentage of sales. Say going forward this year, the percentage is going to be the same as last year, I do see some deviation from those spend markets?
Fred Vandenberg: 36:33 That's a good question. Well, admin would be, there's nothing that would grow admin. In fact, I would suspect that that overall is going to decline. We are investing in growth. So you see a lot, we've hired the net was it going to net and two account executives and two support staff in business? That's…
Glenn Mattern: 37:05 That’s correct, yes, so…
Fred Vandenberg: 37:07 Okay.
Glenn Mattern: 37:07 Yes.
Fred Vandenberg: 37:08 So the investments there are growing and that's really a focus in on growth. And then R&D and software development, there's a certain amount of maintenance and a certain amount that are is all designed to grow the business and we grow that business by adding things to the software platform that will provide revenue in and of itself. There's a couple of things in there that will we think will be chargeable as a service and things that will help our business dev convert sales, convert to clients. So just nice to have improvements in the platform additional functionality, whatever it is. So in terms of those buckets, it's I don't know off the top of my head what the ratios are, but we're essentially trying to bake more cakes and we're adding eggs and flower, whatever it else goes into a cake. But so that, we're growing expenses to ultimately lead to improve revenue?
Gerry Wimmer: 38:38 So and some remodeling, you're looking at it would the percentage – combined percentage of those three buckets, the increasing at slightly higher range than the increase in the sales or stable? Or how would you – how would something you look at that?
Fred Vandenberg: 38:53 Sorry. I think the three buckets you said were, admin, sales and marketing and product.
Gerry Wimmer: 38:59 And, yes, R&D yes.
Fred Vandenberg: 39:03 Okay. So…
Gerry Wimmer: 39:05 Percentage of sales?
Fred Vandenberg: 39:08 As a percentage of sales, well, admin would decline. As a percentage of sales. I mean, admin as admin and I think overall costs are likely to decline. So as revenue grows that even sharper decline in terms of its proportion of sales. I think in the very near term both development and marketing and business dev costs are going to grow as a percentage of sales. I don't have the split. I don't have the – I can – I can add that a little bit later to get more details on that, but we're really just trying to grow. And when you talk about R&D, you really have probably three different types of things. There's one that is, maybe before. There's one that is just really maintenance of the existing software. So it's improvements to the software in the sense the upgrading programming languages or fixing certain things or whatever, then there's R&D that is really truly R&D it's stuff exploring things for new products or new processes that are truly new. And then there is another bucket which would be adding functionality to be catalysts or to provide services?
Gerry Wimmer: 41:00 Great. Thanks. Two other questions. First of all, how should somebody view, you talk about these exclusivity agreement as you got some order in South Africa. Investor standpoint, what's the – can you put a ballpark figure, what that means in revenue generation, say in that market? Or for your company?
Fred Vandenberg: 41:30 It's – it's – it's a small, we, you know, if it was a material agreement we would press release it, in the sense of it being a big revenue generator. It’s – I don't know, I think it's like point three percent to the revenue or something like this. I don’t phobia on that, I'm just roughly, it's small. I think it's more the impact is more interesting in the sense that I think it gives us a foothold into Africa generally. And certainly what you've seen in the past with independent sales in United States, for example, you have this network of use and we've grown independent revenue in the United States by nine percent year-over-year for twelve years or something like that. If you had more – if you go back further, it's higher percentages just because you had that initial really steep curve. 42:43 But We hope to see that same sort of growth within South Africa. It's a – It's an interesting – it's a little market, but it's interesting one that I think in the sense that it's the foothold into Africa and I think Glenn touched on this a little bit, but one of the, there's no provider of this service that I think has the same kind of global presence as we do. And certainly not when you consider curated lists, knowing who to contact in a foreign territory, for example is a valuable commodity that we provide. We are working towards things that will allow us to provide more list and more territories. And we think that kind of snowballs or result in exponential growth because you'll get South African indies that want to hit the U. S. Market or you'll want to get Australian indies that one hit the South African market or those kinds of things and If you look at our releases generally, about fifteen percent of them are more international and I don't think any other provider of this kind of service is providing that. So, we think that as we grow and we acquire a new territory, you will see interesting growth, like, for example, our Latin growth we're very happy with where the way it's going. We're starting to generate lists in those territory that's going to take some time, but that's lists that are valuable to Latin music, but it's also I guess what they would call Anglo music and it's interesting to for Anglo music going into South America. Justin Bieber is popular in South America as well, So that kind of – those kind of international distributions are interesting. Sorry, has a long-winded way I have answered your question.
Gerry Wimmer: 45:17 Okay, okay. Just you touched at the beginning of your presentation on kind of the big picture. You talked about the growth rate you had twenty two percent or last four years. Kind of between five percent and ten percent annually. We also talked about getting five to fifty million in five years. Tuned and maybe the question for your board too. The company has a pretty small revenue base where a public company, a small revenue base for Public company to track to attention to build currency your stock price. 46:00 So the company be thinking a little bigger a little differently. Maybe you shouldn't be a public company, get five fifty million dollars over five years and still a very small public company. And it's pretty hard to generate currency in your stock price on – in fifty million dollars revenue base. Can you just provide me a little viewpoint of you in the board on the sense of being public at this size?
Fred Vandenberg: 46:33 It's not something that we think, something we talked about, But I think in – inherent the question is Play MPE, I gave the fifteen million dollars as a place marker. I don't know where will be. But what I would want us emphasize is that Play MPE is really interesting and good little business. It's a Niche business. It's a B2B business in music industry. But I think it's, our focus over the last few years was really to shore up the platform, shore up our staffing, make sure we're going in the right direction. 47:26 And we think we can start growing that business more programmatically and from that, we think we can add revenue streams. I think Play MPE is a really nice business in the sense of its high margins? And it probably has, I guess what I would say is an outsized importance in the music industry that is, I think what that means is really that we're more important than our revenue would suggest, which I think begs the question how do we change that and we are exploring ways to do that. But It is a nice business that we think we can really layer on things to it. Whether or not we should be public why not it does – it does take some of my time to do calls like this. You do investor relations and that sort of things like the because aren't that significant and again there is a lot of opportunities for people to invest in a pretty cool business.
Gerry Wimmer: 48:49 Yes, I think my point is that you need to build currency in your stock price in order to leverage that currency to grow bigger and it's at current growth rate, It's tough to do for a Micro Cap company. I think stock kind of reflection. Steady state navigation, you know, give or take, I know not that right. That's the point. And I think you guys just think bigger if you want to be public and use the stock as currency. That's the point. I think you have a good business, it's small and small public companies will remain, small public companies on the market capitalization, that is reality. Despite some things you guys do so.
Fred Vandenberg: 49:41 Well, okay. I don't want to Harbor on it too much, but I would beg to differ on it. I get what you're saying. I do think that as we grow revenue, even in the context of the Play MPE business by itself, a growing revenue base, especially with what we hope to do will create some interesting the stock that will drive. We didn't have, a we had a pretty good year in terms of our trading our volume. If you look at the last couple of months, maybe not so much, but generally, I think our volume is pretty good. And I think we one adding David (Moss)  to the board is something that we are looking more proactively on generating interest in the stock. I do I really do believe we do have an outsized importance in the industry, and I think that itself as we look at more creative ways to invest in Investor relations, it'll generate some interest.
Gerry Wimmer: 51:09 Okay. Now fair enough. I'm just, that point is you always have to attract another generation of investor.
Fred Vandenberg: 51:15 Yes.
Gerry Wimmer: 51:16 Ultimately going to other than retail investors. That's difficult to do what we remain…
Fred Vandenberg: 51:21 Well, and I think, I think that's true. I think the old way of doing IR is maybe not the best way to do it. And I think we're looking at creative ways to generate some interesting. So all sorts of interesting things will happen over the last year with stocks and training and I think we'll be smarter about our IR initiatives.
Gerry Wimmer: 51:50 Okay. And finally, if the buybacks still in place, was that renewed or not? I can't recall.
Fred Vandenberg: 51:55 It was renewed in January, I believe I have to check the dates exactly, but and so it's effective for a year and that means it's still effective now. It is effective now. I know that.
Gerry Wimmer: 52:07 And you plan to renew it or that's not known yet.
Fred Vandenberg: 52:11 We haven't approached it with the Board, and we'll think about it. I do think, I'm going to get some fact for this, but I think we're undervalued, but and we do have uses, I think in terms of your earlier comment about the size of the business I think if we add these layers of business on, we will generate a lot of interest. I think it takes time. It'll take time to build out these things, but we want to use that cash to do that as well.
Gerry Wimmer: 52:56 Okay. Thank you Fred for answering my questions. I appreciate it.
Fred Vandenberg: 53:06 It just seems while we're waiting for the next question  The one thing I have been asked this morning is the status of the universal agreement. The term expires at the end of December, we're looking at extending that with them. We have a certain strategy behind that, and there's nothing in, anything I've ever seen that would suggest that there's anything a successful renewal what that looks like is a different question, but we're working towards that.
Operator: 53:48 Okay, thanks. .
Fred Vandenberg: 54:13 I'll address another question I got this morning. And what, it’s this, what's the size of the Latin market? That's one of the ones that I think is pretty exciting for us. When I talk about the addressable market cap for addressable market size for Play MPE, we say forty million dollars. We kind of arrive at that in a bottom up approach, but it's, we split at the market based on territories and we think that very conservatively that would exceed our current revenue, that just the Latin market alone. And as we've progress further into it. We are starting to see that that might be very conservative. It's a market that we're building out. So in terms of market share, it's we can't really say what percentage we have because we haven't commercialized yet, but we have universal distributing in various territories. We have Warner distributing and I'm not actually sure how many territories, it's throughout South America, Spain  and the U. S. Itself and Central America and a lot of independents. I think we've got a number of adhesives and we're starting to build up that activity in the most list. So it's really a market under construction, but It's one that's very exciting for us.
Operator: 56:17 Okay. It doesn't appear there are any more questions submitted at this time? Fred, I'd like to open to have one more questions here, from Lawrence Goldstein. Go ahead, Lawrence.
Fred Vandenberg: 56:37 Larry, you are on mute.
Operator: 56:40 You may need do unmute your microphone.
Lawrence Goldstein: 56:50 Yes, I just like to comment on an earlier question and your response. I don't know what any shareholder wants, and the way of promotion destiny stock is only up sixty nine point five percent this year or that was six hundred ninety percent. I would not like to see you spend one cent on Investor Relations. I think you should just go about keeping your nose to the grindstone and continue to do what you're doing, which is to build the company and I am the shareholder, my firm is shareholder, possibly one of the large ones. And I think you should pay no heat for shareholders who want you to do promotion, because sixty nine percent – sixty nine and half percent year-to-date as of November twenty third is not bad. Thank you.
Fred Vandenberg: 57:58 Thanks, Larry. I'm sure, we will – I will take note of that. The reality is we've really been focusing on business and…
Lawrence Goldstein: 58:11 Excuse me, I just wanted to be on record because…
Fred Vandenberg: 58:13 Yes.
Lawrence Goldstein: 58:14  to do out of it. And that settlement should know another shareholders view and nothing more you need say of me about it. Thank you.
Fred Vandenberg: 58:25 Yes. No appreciate that. Okay.
Operator: 58:34 We do have some more questions here.
Fred Vandenberg: 58:36 Okay.
Operator: 58:38 And your next question is from Craig Johnson. So, please go ahead and unmute your microphone.
Craig Johnson: 58:45 Okay. Thank you. Can you hear me okay?
Fred Vandenberg: 58:48 We can, yeah.
Craig Johnson: 58:50 Okay. You've said that your independent revenue is about the same as it is for the major labels, and it's going up quite quickly, but overall, your revenue is going up a lot slower. So, I'm wondering what the reason is for the major levels it seems like they're declining, and will that decline stop at some point so that the independent label revenue will shine through?
Fred Vandenberg: 59:25 That's a good question. I think that's a hard one to answer holistically in general. The – I think major label revenue will go up. It is – when we sell into different territories, what you see is independent labels that the revenue comes second typically. Certainly the use come second as we build up recipient list and I think that independent label revenue will be a very interesting place to grow. And I think it'll continue to see high growth rates. I do think you will see growth in major label revenue as we add services as we add territories. So, I can understand you've seen a decline or at least the leveling off recently. But as we add for example, Warner South Africa or hopefully Warner Central and South America as we build out that market, which I think would be a larger contract, but generally I think independent revenue is going to be really interesting to see as we had new territories and you see that cross border international appeal to Play MPE, I think the more we expand the more that cross border label revenue will be.
Craig Johnson: 61:16 Okay. So you would say that like, it seems as of just based solely on the percentages, it seems as though the major label revenue is going down or at least recently. So would you say that that's leveled off now? That's my question.
Fred Vandenberg: 61:35 Yeah, I would say it's I wouldn't expect it to decline if that's what you're really asking. I think it will grow, it might stay level for a little bit of period time, but you'll still see a steeper growth in an independent, but we will add territories, so you'll get a step in major label revenue as we do that.
Craig Johnson: 62:06 Okay Thanks. That was my question.
Operator: 62:14 Okay, thank you. We do have some additional questions, Fred.
Fred Vandenberg: 62:17 Okay.
Operator: 62:19 We have another additional question from Gerry Wimmer. So Gerry, go ahead, once again unmute your microphone.
Gerry Wimmer: 62:36 Fred?
Fred Vandenberg: 62:37 Yes, I can hear you.
Gerry Wimmer: 62:39 Further to a previous call points. My point was not spending in Investor relations, my point was growing the company in order on its market cap on its business in order to track next generation investors, two very different things.
Fred Vandenberg: 62:55 I don't want to get into guys, we – I get the point, but I think…
Gerry Wimmer: 63:03 I think you understand why I'm coming from.
Fred Vandenberg: 63:06 Yes, Understand. All right.
Gerry Wimmer: 63:08 Okay. Thank you.
Fred Vandenberg: 63:08 Thanks, Gerry.
Operator: 63:14 And we do have one more additional question if there's time an additional question from Lawrence Goldstein.
Fred Vandenberg: 63:20 Yeah. All right.
Operator: 63:24 Please go ahead once you unmuted your microphone.
Fred Vandenberg: 63:33 Larry, you can unmute. Larry.
Lawrence Goldstein: 63:47 I don't have a question. I thought you are inviting me unmute.
Fred Vandenberg: 63:52 Oh, sorry thought, you had no question. Okay. I think I think we'll stop it there. Thanks everyone for joining the call. I hope that was a good presentation for you to learn about our strategy and I think we've had a very successful year. So thanks again.
Operator: 64:14 I Okay. That concludes the webinar today. Thanks for joining us today, everyone.